Operator: Good day, and thank you for standing by [Operator Instructions] Please be advised that today's conference is being recorded. 
 I would now like to hand the conference over to your first speaker today, Sagar Hebbar, Head of Investor Relations. Please go ahead. 
Sagar Hebbar: Thank you, and welcome to Rackspace Technology's First Quarter 2024 Earnings Conference Call. I'm Sagar Hebbar, Head of Investor Relations. Joining me on today's call are Amar Maletira, our Chief Executive Officer; and Mark Marino, our Chief Financial Officer. 
 As a reminder, certain comments we make on this call will be forward looking. These statements involve risks and uncertainties, which could cause actual results to differ. A discussion of these risks and uncertainties is included in our SEC filings. Rackspace Technology assumes no obligation to update the information presented on the call, except as required by law. 
 Our presentation includes certain non-GAAP financial measures and adjustments to these measures, which we believe provide useful information to our investors. In accordance with SEC rules, we have provided a reconciliation of these measures to their most directly comparable GAAP measures in the earnings press release and presentation, both of which are available on our Investor Relations website. 
 As previously announced, we successfully closed a series of debt refinancing transactions, which we will discuss in more detail during today's call. As a result of the size and complexity of the transactions, we are presenting selected financial data in the earnings press release and during today's call. Full financial data for Q1 will be included in our upcoming 10-Q filing, which we expect to file with the SEC on or before the extended deadline of May 15, 2024. 
 I will now turn the call over to Amar for an update on the business. 
Amar Maletira: Thank you, Sagar, and welcome, everyone, to our first quarter 2024 conference call. We continue to make steady progress on our turnaround. Results in the first quarter of 2024 exceeded the high end of our guidance for revenue, profit and EPS. We have now either met or exceeded guidance the last 7 quarters, a track record that speaks to our execution and commitment to transparency with the investment community. 
 Underneath these financial results, I'm encouraged by our progress on 3 strategic priorities: first, implementing an operational turnaround; second, repositioning Rackspace as a forward leaning and innovative hybrid multi-cloud and AI solutions company; and third, rightsizing our capital structure to ensure ample liquidity to support our key objective of driving long-term and sustainable profitable growth. 
 Our recent debt refinancing and liquidity injection significantly improved our capital structure, giving us runway to execute our turnaround. Mark will provide more details in his comments. 
 Our operational turnaround continues to gain momentum. We are building a pipeline in both our businesses, growing bookings and finding additional opportunities to increase efficiency across the board. While the overall market remains cautious in the near term, we are well positioned and are leaning into the opportunities being created by secular market trends in public cloud, private cloud and AI. 
 Now let me get into our business performance, starting with private cloud. We had very strong double-digit year-over-year growth in first quarter bookings in private cloud with continued strength in health care. Sequentially, bookings were down due to normal seasonality in first quarter and an exceptional bookings performance in the fourth quarter of 2023. 
 Private Cloud is seeing continued success in implementing a health care vertical strategy. Following on the heels of a strong fourth quarter bookings in this vertical, we won several new deals in health care in the first quarter. Among them were marquee names, including 2 of the country's 10 largest health care payers, a large health care solutions provider and a regional hospital and related services system provider. 
 Many of these new engagements are for our unique and differentiated Epic-as-a-Services offerings. Rackspace holds all Epic certifications and is the perfect partner to host, operate and manage electronic medical record workloads one of the most critical workloads in the health care industry. Towards that end in April, we had a successful implementation of Epic electronic medical record system with Seattle Children's Health Hospital leveraging Rackspace's Healthcare cloud solution. 
 I'm proud of the partnership between Seattle Children's Hospital and our Rackspace team to provide a seamless migration of this workload to the Rackspace environment without impacting system availability or patient care. Private cloud continues to launch a steady stream of new and innovative products and solutions. 
 In the first quarter, we launched UK Sovereign Solutions. This is a digital serving platform with the ARC branded data centers in the U.K., offering a flexible number of configurations to suit varying budgets, performance and workload sizes. All compute and storage for the sovereign cloud is dedicated to U.K. government and health care. I'm encouraged by the success of the private cloud strategy to defend and expand our private club business. We are executing well with continued growth in pipeline, bookings and new products and solutions. 
 However, the private cloud business unit is also working through the negative impact on today's results from customer exit decisions made in prior years on legacy solutions. Fortunately, we expect that dynamic to normalize over the coming quarters and the next year, at which point a revenue runoff should eventually be eclipsed by the continued new bookings and revenue conversion from that point forward. 
 As we start to lead the legacy effects behind, we expect to see private cloud performance dip decisively towards stability and the steady sequential growth in an underserved market, where Rackspace brings unique capabilities, great brand and 2 decades of experience in managing and operating a variety of hybrid cloud workloads delivered through our fanatical support. 
 Now moving to public cloud. In the first quarter, total public cloud bookings showed solid double-digit growth year-over-year and were also up sequentially. Sequential growth in the first quarter, which is seasonally the weakest quarter is very encouraging. This was a result of solid execution by our go-to-market teams in 2 of our largest regions, Americas and the U.K. The major go-to-market refresh we did in this business in the second half of last year has started yielding results. I'm pleased with the go-to-market execution, especially in a tough services market. We are in the early innings, and there's more to do to continue building on this momentum. 
 Our public cloud strategic imperative is to lead with services. We offer an unparalleled ability to meet our customers' needs with a full stack multi-cloud solution spanning platform, applications, data and security. This focus has yielded a number of new wins, such as a platform services and security engagement with a large international insurance company. We also won a platform services agreement with a large media company. And in data services, we have been engaged by another large insurance company to migrate and modernize an on-prem data warehouse to cloud. 
 Public cloud also continues to develop many new innovative services and solutions. We are also being increasingly selective with infrastructure resale, including not recompeting some low-profit renewals. This may impact near-term revenue, but will improve our overall margins. 
 While I want to make a few remarks specifically about AI, I also want to note that AI permits the organization and is integrated into everything we do. So it is a part of both public and private cloud businesses as well as our internal functions. 
 Our opportunity based for AI or our fair offerings continues to grow since its launch in June 2023 and is in excess of 30 opportunities. These opportunities are at varying stages of implementation across our ideate and incubate phases. In general, our customers are starting to turn to the hard work of making AI a reality that usually starts with data. You can't train and fine-tune an AI model and run inferencing influencing without unified normalized data. That data business represents significant near-term opportunity for Rackspace, but speaks to the long road ahead to full-scale AI implementation. 
 We're also developing new capabilities. Earlier this year, private cloud launched private AI anywhere. And on our future road map later this year, we will be introducing AI business and AI optimized platform for fine-tuning and inferencing AI workloads. We have broad and deep engagement with the AI ecosystem to quickly move on opportunities and help our customers in their AI journey. 
 In summary, this quarter, we once again did a little better than expected. Our guidance shows an appropriately cautious but improving trajectory. Our goal for 2024 remains lock in a sustainable business model that generates consistent revenue and profit growth over the long term, building momentum that will put us on a profitable growth trajectory entering 2025. 
 Before I wrap up, I'd like to thank our customers, partners and all our Rackers. I'm proud of all we have achieved together already. We are heading in the right direction. 
 I will now turn it over to Mark for an overview of our financial results and guidance. 
Mark Marino: Thanks, Amar. In the first quarter, total company GAAP revenue of $691 million exceeded the high end of our guidance, driven by strength in public cloud. Total non-GAAP net revenue was $384 million, down 7% sequentially due to declines in both private cloud and public cloud. Note that Q1 typically shows seasonal weakness relative to Q4. 
 Non-GAAP gross profit margin was 20.4% of GAAP revenue and 36.7% of non-GAAP net revenue. For the quarter, non-GAAP operating profit was $16 million, exceeding the high end of our guidance. This was largely due to slightly better revenues and cost efficiencies. Non-GAAP operating margin was 2.3% of GAAP revenue and 4.2% of non-GAAP net revenue. 
 Non-GAAP loss per share is $0.11, which exceeded our guided range of $0.12 to $0.14 loss per share. 
 Cash flow from operations was negative $90 million and free cash flow was negative $118 million in the first quarter. Historically, the first quarter is typically our lowest free cash flow quarter because of a large vendor prepayment and our annual bonus payout. This quarter, we also had onetime outflows, including certain fees related to the debt refinancing, along with fees relating to exiting our corporate headquarters. 
 For the balance of fiscal year 2024, we expect cash flow from operations to be positive and free cash flow to be slightly negative as we continue to invest in success-based CapEx. 
 Additionally, in the first quarter, we recorded $593 million of noncash goodwill and intangible impairment charges. 
 Turning to our segment results. For private cloud, GAAP revenue for the first quarter was $268 million, which was at the low end of our guidance. This includes legacy OpenStack revenue of $27 million. Total private cloud revenue was down 6% sequentially due to customers rolling off older generation private cloud offerings. 
 Private cloud gross margin was 39%, up 1 percentage point sequentially primarily due to cost efficiencies and better asset utilization. 
 Segment operating margin was 26.7%, roughly flat quarter-over-quarter. 
 In public cloud, GAAP revenue was $422 million, exceeding the high end of our guidance, down 3% quarter-over-quarter driven by both infrastructure and services revenue declines. 
 Infrastructure revenues are seasonally lower in the first quarter, and we continue to walk away from renewals that do not meet our profit objectives. 
 Public cloud services revenue was also down 3% sequentially given the continued cyclical headwinds in IT services. 
 Gross margin for our public cloud segment was 31.5% of non-GAAP net revenue, down 9 percentage points sequentially driven by revenue declines, headwinds from seasonal fringe benefits in the U.S. and lower labor utilization and services. 
 We will continue to improve utilization for the rest of the year. Non-GAAP segment operating profit was 8% of non-GAAP net revenue, down 13 percentage points sequentially driven by the decline in gross margins as well as a modest uptick in our go-to-market investments to drive future growth in services. Operating expenses should flatten out from here. 
 As Amar mentioned, we closed the public debt exchange in April with positive results. We ended with over 96% of our secured creditors supporting the exchange transaction. 
 In 2024, we have reduced our outstanding principal by over $300 million in annual interest cost by more than $11 million. Since the end of fiscal year 2022, we have reduced our principal debt by over $800 million and annual interest cost by more than $38 million between the debt exchange and the company's open market purchases. 
 Let me offer some key takeaways for modeling purposes. Cash interest payments will run at about $48 million a quarter starting in 2Q '24. Aggregate principal balance of debt will be roughly $2.6 billion. Our revolver remains in place and fully available, providing an incremental $375 million of additional liquidity. And as we mentioned last quarter, we also extended the maturities on the revolver and other participating senior debt facilities to May of 2028. The company has no corporate maturities prior to 2028. 
 You'll note that the reduction of the total carrying value of debt, net of premiums and discounts is significantly less than the $300 million reduction in the principal amount of our debt. The difference in the carrying value of our debt reported on our balance sheet and the principal amount of debt is a result of applying the required debt restructuring accounting guidance to the exchange. This accounting required the company to recognize significant premiums on the newly issued debt, which are subsequently amortized over the life of the new debt, reducing quarterly GAAP interest expense. We are very encouraged by these results as it provides both the liquidity and runway to implement our strategy. 
 Now on to guidance. We expect second quarter GAAP revenue to be approximately $668 million to $678 million. Total non-GAAP operating profit is expected to be $20 million to $22 million and non-GAAP loss per share of $0.09 to $0.11. From a segment perspective, we expect private cloud revenue of $260 million to $265 million and public cloud revenue of $408 million to $413 million. The sequential decline in public cloud revenue is mainly attributable to declines in low-margin infrastructure resale. This decision not to pursue low profit renewals as emphasized by Amar in his prepared remarks, underscores our strategic focus on higher-margin service opportunities. 
 Our non-GAAP tax rate is expected to be 26% and non-GAAP other income and expense of approximately $52 million to $54 million in expenses. 
 The non-GAAP share count is expected to be around 227 million to 229 million shares. 
 I'll now turn the call over to Sagar. 
Sagar Hebbar: Thank you, Mark. Let us begin the question-and-answer session. We ask everyone to limit discussion to one question and one follow-up. Please go ahead. 
Operator: [Operator Instructions] Our first question will come from the line of Kevin McVeigh with UBS. 
Kevin McVeigh: Congratulations on the results. I wonder can you give us a sense of where the upside was relative to your expectations, particularly on the public side? And is there any way to dimensionalize how much of the lower margin infrastructure revenue that you walked away from? Just because obviously terrific results on the revenue. Just trying to dimensionalize how much was also not kind of renewed just from a margin perspective? 
Mark Marino: Yes. Thanks for the question. good question there. I think from a color perspective, I would just say that the revenue beat was largely driven by the public cloud side of the house due to higher infrastructure resale volumes sort of carrying into that trend from Q4. 
 From a private cloud revenue, although slightly lower, it was still within our guided range. But I think to sort of get at your second part of the question there, most of the impact from business we're walking away from low-margin reseller business, you'll start seeing into Q2 a little bit more than we saw it into Q1, just given sort of the timing of some of those renewals. But that will be more pronounced as we get into the second quarter. 
Kevin McVeigh: Great. Then can you just help... 
Amar Maletira: Kevin, if I can just add, those are very low-margin business that we're walking away from. So I think it should improve the overall margin of that business as we walk away from very low-margin resale business. So it's net positive from a margin perspective. 
Operator: Our next question comes from the line of Frank Louthan with Raymond James. 
Robert Palmisano: This is actually Rob on for Frank. So what verticals would you say that you had the most traction with during the quarter? And where do you expect to see the most traction going forward over the next couple of quarters? 
Amar Maletira: So Rob, I just want to make sure I get the question. You're talking about where we saw traction from a vertical perspective in the quarter? 
Robert Palmisano: Yes. 
Amar Maletira: Yes. Okay. So thank you for the question, Rob. So clearly, we are seeing very good traction in our health care vertical. We saw -- we continue to win a lot of business in Epic-as-a-Service. In my prepared remarks, I did mention that. And the funnel remains strong. We still have a TCV in the funnel in excess of about $700 million, even after closing a lot of business in Q1. So clearly, that vertical is playing out very well for us. 
 In public cloud, we saw business across multiple verticals, but it was very broad-based. Our public cloud business also did quite well. In fact, we're starting to see a lot of green shoots in our services select motion. And our overall bookings, in fact, in services grew high double digits year-on-year and in fact, mid-single digits, seasonally decline in quarter. So overall bookings that -- I mean, in public cloud that including services. 
 So if you recall, we did mention that we made a lot of structural changes in our go-to-market motion in the second half of fiscal 2023, including refreshing our sales talent so that we bring in services so that we can service to specific skills in a go-to-market organization. We hired a lot of client partners. We also hired new leadership, and that all is now playing out quite well. We have a better execution against our go-to-market plan. We are now landing and expanding in both our installed base as well as net new specifically in Americas and Europe, which is one of our 2 largest regions. 
 We also have increased our engagement with all 3 hyperscalers, and that's very important. In fact, when it comes to AI and GenAI, we are very much embedded with the hyperscalers, all the 3 specifically AWS as well as Azure. We continue to enable our go-to-market organization with very specific sales plays in both public cloud and private cloud. And we also started doing very good account planning and it's sort of coordinated 360-degree account management for both mid-market and enterprise customers. So this is all working well. 
 Again, the market remains tough. As you know, macro environment has not changed as much. But I think within that construct, I think we, from a go-to-market perspective, are doing quite well. On the public cloud side and on the private cloud side, our health care vertical strategy is really working well. And we feel really good about the health care vertical strategy. And in fact, we're also executing well against that strategy. We implemented one of the -- one of our -- we brought on board a health care customer, Seattle Children's Hospital, as I mentioned in my prepared remarks, and it was a very, very good and smooth transition over to our Rackspace cloud solution on the health care side. 
Operator: [Operator Instructions] Our next question will come from the line of Ramsey El-Assal with Barclays. 
Ramsey El-Assal: You mentioned green shoots for services and good bookings. What's resonating in the market for you now? And I guess kind of also speak to your confidence level about seeing some level of inflection later on as we get deeper into the year. 
Amar Maletira: Yes. Thanks, Ramsey. It's a good question. So we -- in services -- on the services side, Ramsey, as I mentioned, we refreshed our go-to-market organization in the second half of last year. And we have started basically looking at a lot of enterprise and mid-market customers. As an example, Ramsey, we have about 20 MSAs in motion right now, master services agreement with large enterprises and mid-market customers, almost 50% of those we have already signed that gives us a license to go hunt. 
 I'll come specifically into the type of services, but I want to give you a bigger picture here. We are also signing large strategic relationship with larger customers in all the 3 regions, in Americas, in Europe as well as in the Middle East, by the way. And we also have some very good frame agreements in certain verticals in our dark region, specifically in the auto vertical. So those are the green shoots I'm talking about. 
 When it comes to services, what we saw Ramsey, again, I think it also reflects what's happening in the marketplace. We are seeing our data services business really perform well. This quarter, our data services business grew, very strong growth in our data services bookings, so to speak. We also saw professional services, consulting services across all 3 service lines in public cloud platform, in security, in applications as well as in data grew sequentially. 
 So we are starting to see, and I think it's more of a better go-to-market execution. Now these are all bookings number, by the way, as opposed to the market. The macro environment still remains challenging, uncertain, so to speak. And a lot of projects are more focused on cost optimization, but we are starting to see a lot of projects emerge on the AI side. 
 And on private cloud, our vertical strategy is working very well on the private cloud side. So looking forward into the second half, Mark, do you want to talk about what the -- what we are seeing from an outlook perspective? 
Mark Marino: Yes, sure. Yes. Thanks, Amar. Yes. Just from a high level in terms of second half of the year, we do see revenue stabilizing sequentially in Q3 and a slight uptick in sequential revenue going into Q4 across both business units. And from an operating profit perspective, we see overall second half operating profit significantly higher than the first half as we continue to see the pull-through on the revenue, higher revenue as well as driving efficiencies throughout the organization. 
Amar Maletira: And on efficiencies, we continue to drive a lot of efficiencies throughout the organization, Ramsey from the actions actually we took earlier on in the second half of 2023 as well as the actions we continue to take in 2024. And these are efficiencies across both labor as well as nonlabor. And so that's why we are -- that's why we believe the second half -- we are estimating the second half operating profit should be significantly higher than the first half. 
Operator: Thank you. Now this concludes today's Q&A session. I will now turn the call back over to Sagar Hebbar with closing remarks. 
Sagar Hebbar: Thank you, everyone, for joining us. If we did not get to your question or if you have a follow-up, please e-mail us at ir@rackspace.com. Have a great evening, everyone. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.